Bilal Aziz: Good morning, everyone, and welcome to the conference call for Pandora's Full year '24 Results. I am Bilal Aziz from the Investor Relations team, and I'm joined here by CEO, Alexander Lacik; CFO, Anders Boyer; and the rest of the IR team. As usual, there will be a Q&A session at the end of the call. If you could kindly limit yourself to 2 questions at the time, that would be great. Please pay notice to the disclaimer on Slide 2 and turn to Slide 3. I will now hand over to Alexander.
Alexander Lacik: Thank you, Bilal, and welcome, everyone. As usual, I'll start by highlighting some of the key takeaways for the year and Q4. If I take a step back, I think Pandora can be very proud of delivering another strong year. Through yet another year of quite tepid growth in many jewellery markets and consumer pressure, we've managed to drive our business forward. At the heart of this is the Phoenix strategy. Our mission is to build a full jewellery brand and attract more consumers to the brand. Therefore, you'll probably not be surprised to hear me say that we will continue on that course well into the future. Our results continue to demonstrate the robustness of our strategy in hard financial numbers. We've delivered 7% like-for-like growth for the full year and ended Q4 with a healthy 6%. Through the course of the year, you would have noted that we kept a very stable core. That's always the first priority and incredibly important. But then we drove faster growth in what we call Fuel with more, underpinning our promise to ensure this brand becomes the one-stop shop for all type of jewellery. On profitability, I hope most of you will agree with me that any brand consistently delivering around 80% gross margins has a strong business model and is doing something right. And of course, this allows us to make ongoing investments into the business, whilst maintaining very solid EBIT margins of, in this case, just over 25%, exactly in line with our guidance. We continue to demonstrate very high return on capital, which improved slightly this year, again, a reflection of the very efficient business model. Finally, you can see how all the metrics fed into our strong earnings model with 17% EPS growth in the year. So all in all, a good performance in quite challenging markets. Now let's look ahead. Can we move to Slide 4, please? For the 2025, we expect the overall consumer environment and macroeconomic situation to remain quite challenging. We have taken this into consideration in our guidance. But despite this headwind, we are guiding for organic growth of 7% to 8%, of which we expect like-for-like growth of 4% to 5%. You can be assured that we'll keep pricing ahead with our Phoenix strategy. I want to note that we did indeed see some more intense promotional behavior from some of our competitors during the end of last year, a reflection of the challenging environment. That's not a game we particularly play in, and I do not expect, at least on the onset, the environment to be any easier. Therefore, I believe delivering these growth numbers with the current backdrop will be a great outcome. Our EBIT margin guidance, I'll let Anders comment on that in detail later. However, as a summary, there's 2 headlines here. First, we continue to invest in our brand. These are non-negotiable and value-accretive investments. And secondly, this year, we are faced with significant external cost headwinds from commodity prices. Despite these, we are guiding for margins of around 24.5%, which again will be a good outcome. Now I'll provide a few words on current trading. We've started the quarter pretty well with our like-for-like growth at high-single-digit levels so far. I want to caveat this slightly with strong performance in our end-of-season sale. And recently, we have seen consumers concentrate their shopping more around promotional events. Nonetheless, the underlying trends of the business remain healthy with a like-for-like closer to mid-single-digit levels, something reflected in our like-for-like guidance also for this year. Now let's move to Slide 5, please. I covered our financial performance earlier. This slide shows how we also managed to grow our business in a sustainable manner. 2 important milestones in '24. We now craft all jewellery with 100% recycled silver and gold and we now run entirely on renewable electricity throughout our operations. We are happy that these efforts are noted. For the third year in a row, we received an A score from CDP and we were ranked among the 100 most sustainable companies across sectors. We take our commitments here very seriously. Can we move to Slide 7, please? I mentioned earlier how the Phoenix strategy has been driving us forward. On this slide, you can see the specific pillars of that. You usually hear me talk mostly about the brand because that's where everything starts, but I want to emphasize that all of the pillars are intertwined and we invest in all of them accordingly. Whether it's our new e-commerce platform or driving engraving, we are putting proper capital and resource behind each and every pillar here. We're building this company not just for the near-term, but importantly, for many years to come ahead of us. I've always said that good brands that remain relevant do 2 things well. First of all, they're consistent through time. And secondly, they invest through cycles. That's exactly what we have been and will continue to be doing. That brings me nicely on to the next slide. When you have solid foundations backed by a strong strategy, then you can continue to bring more and more consumers into your brand to drive solid like-for-like growth. As you can see here, we've demonstrated that quite consistently since the start of Phoenix period in 2021 with a like-for-like CAGR of 6%. Now every year is obviously different with various challenges these days. And whilst there may be fluctuations around the numbers, you can be sure that our pipeline for growth remains strong. Our market share in aggregate is still very small in a very fragmented industry and we think jewellery as a category is a structurally exciting place to be. So as we continue to elevate the brand, we will certainly be looking to take at least our fair share of growth in the accessible market. Next slide, please. Let's start diving into some details of the Phoenix strategy through '24 and Q4. As usual, I'll start with the brand and here's how -- and we show some examples here of our marketing efforts, which are consistently driving the brand heat. In Q4, we drove a strong holiday campaign and centered it around our BE LOVE campaign that we launched earlier on in the year. The campaign continued to push ahead on our broader brand restaging, but this time also centered around the gifting period for good reasons. Meanwhile, we remain active around big PR events during the quarter and we were once again principal partner of the Fashion Awards in the U.K. I also want to highlight here that our marketing efforts are not exclusive to TV or broader digital media. We are also investing in our stores, which remain pivotal to the consumer experience. You've heard me talk about our new store concept, but here, you can also see how we utilize the front of our stores with a specific campaign that portrayed our distinct identity as a brand. Some of you have already had a chance to say hello to our new Chief Marketing Officer, Berta. For others, I'm sure there will be other chances through the year, and I'm really excited to have Berta on board. You can expect the continued laser focus on taking the Pandora brand to new heights. Next slide, please. As you probably know already, Pandora has a very strong e-commerce platform today. This becomes abundantly clear through the pandemic. This became abundantly clear through the pandemic. But even since then, where it has driven significant like-for-like growth. But we don't rest on our laurels. As part of our mission to dial-up brand desirability, we have been investing in this platform for a complete new look and revamp. The new platform brings the brand to life through a much more immersive experience. This is critically important given this is our largest brand window. We tested a new platform through Q4 in Italy and Canada with encouraging results, not only in commercial metrics, but also the brand engagement. We will now be rolling the new platform out globally through the first half of the year in phases. The slide here doesn't do justice to the level of change that's taken place. So I do urge you to experience for yourself the before and after. I'm sure you'll see a tangible difference. Next slide, please. Let's now look at our 2 segments, Core and Fuel with more. As you know, our strategic aim is to be seen as a full jewellery brand, which essentially entails driving steady growth in the Core, whilst adding higher growth in Fuel with more. As a global brand, there will always be shifts between collections depending on consumer preferences, timing of new products and specific marketing campaigns. That means that the in-year focus between collections will naturally vary. But the big picture message we look at is growing our strong core and fueling this with more. The specific collections that drive that growth in a given year is more a function of that. Now you can see from this slide that our strategy is working. Within our Core, we have seen very steady 2% like-for-like growth across both '23 and '24. This was also the case in Q4 where the new holiday collection on Moments platform was particularly well received. Next slide, please. Our Fuel with more segment continues to grow quicker. Having achieved a very strong 14% like-for-like growth in 2023, we successfully managed to build on this with 22% like-for-like growth in the last year. That underpins that we are indeed engaging with more consumers across all our collections. For Q4, Fuel with more was still at double-digit levels of 13% despite the very tough comp from the prior year. As I'm sure some of you will remember, we launched our brand-new ESSENCE collection in the spring of '24, which carries an organic natural and fluid design aesthetic, where we didn't have much exposure previously. Since the launch, I'm happy to report that we are indeed trading well, and importantly, attracting new consumers with the new collection. We will be looking to take this further in '25. Next slide, please. Here, you can see a tangible example of our fourth pillar, personalization and how that can sprinkle incremental solid like-for-like growth for us. Since last year, we've been seeing great success in our instant engraving services and consumers love this personal touch. Therefore, we've continued to expand quite quickly here. 1,600 stores now offer the service and we also have a very strong online offering across most of our major markets. As I previously said, this provides nice incremental growth for us and utilizes our current store and online infrastructure. Those are the benefits you earn, and therefore, can build on from your brand appeal. Now let's discuss some of the markets in a bit more detail. Next slide. As usual, I'll start with our biggest market, the U.S., which delivered a very strong 9% like-for-like growth, another great quarter and actually a small acceleration. We believe this is driven by still strong brand momentum with our major KPIs moving in the right direction. This helped us thrive through the holiday season, and in particular, we had a good performance through Black Friday this year. Similar to the previous quarter, we are complementing the like-for-like performance with our network expansion in the U.S. where there's ample white space. This has led to 13% organic growth in total for the quarter. Next slide, please. The performance in our key European markets did slow somewhat to 0% like-for-like in the quarter. However, one thing to keep in mind is in a broader European context, we actually saw 4% like-for-like growth. Of course, a large chunk of our European exposure is reported within Rest of Pandora. But let's just unpick the 4 markets on the slide here. First, growth in Germany remained very strong at 28% like-for-like growth. That's particularly strong when you account for the tough comparative from last year and driven by solid momentum and good traffic. As expected, this growth did normalize from the previous quarter and we expect more of that in 2025 as our growth moderates to more normal levels. In the U.K., we saw a particularly high promotional environment over the holiday period, likely prompted by the still weak economic backdrop. So in that context, a minus 3% like-for-like performance we see as okay. In Italy and France, we met some challenges and our like-for-like fell minus 10% and minus 14%, respectively. Firstly, I want to highlight that our brand metrics remain healthy in both markets. However, we did see quite an intense promotional activity in the markets across the holiday period. And that's not a game we lead in, although we sometimes have to react. Therefore, that did impact our performance as seen. Nonetheless, we have crafted a plan ahead for these markets. As I said, whilst our brand metrics have remained healthy, but they are yet to translate into higher traffic growth, which is the most important metric for us. Therefore, we'll be investing even more into the brand to drive more local cultural relevancy. Next slide, please. In Rest of Pandora, we delivered another double-digit quarter of 11% like-for-like growth. This performance is still off a tough comp base, so remains strong in that context. As I mentioned in the previous slide, a big chunk of our other European exposure actually sits here. So for example, Spain, Portugal, Poland are very important and increasingly large markets for us. They all, alongside many other markets, drove very strong like-for-like growth in the quarter and we'll continue to invest in the brand in these markets. Elsewhere, we did see the expected normalization we mentioned in Turkey earlier in the year. That will also likely be a feature through '25. So keep that in mind. Next slide, please. Finally, in China, we had minus 10% like-for-like growth and performance remains challenging overall. We have been investing into the brand in Shanghai selectively since mid-'23, and we're now considering next steps. As part of that, we look to optimize the P&L and optimize the network in China, closing at least 50 underperforming stores. In Australia, we delivered minus 4% like-for-like growth with the broader macro environment still impeding us somewhat. We look to dial-up our execution here to continue to drive the message of our full jewellery brand. Next slide, please. Here, you can see the immense value we create from our network expansion. As the chart shows, since the start of Phoenix strategy on an isolated basis only, we basically added DKK 4 billion revenue to the group from expanding our network. Of course, as the stores mature after the 12 months and come into the like-for-like base, the total revenue impact is even higher. At the top of the slide, we show how attractive the economics of a new store opening is for Pandora. Whether it's a concept store or a shop-in-shop, the revenue ramp-up is incredibly quick in year 1 and the 4 wall EBIT margin is in the range of 35% and 40%. Those are metrics hard to find elsewhere in the industry. So we will continue to expand on this journey ahead in 2025 where we target 75 to 100 total openings and an organic growth contribution of 3%. The number of concept store openings is impacted by the planned closures of stores in China this year, but this will have minimal impact on the organic growth as such. Next slide, please. Finally, before I hand it over to Anders, I wanted to give a quick update on the rollout of our new store format. I already mentioned earlier how our stores are a key part of our marketing and how we present the brand to consumers. Tied to that, you heard me talk about how we elevated our shop fronts for the holiday campaign. The key for Pandora is to do these things at scale and across markets in unison. That's where the new format will increasingly come in. For those of you that have seen the format, you will see that elevated in-store brand experience and Pandora clearly presented as a full jewellery brand. You won't need to be told that, you should be able to feel it. During the holiday season, we did also see how the execution in the new format is beginning to shine through. When you're executing roughly 4 transactions per minute during the peak, every second counts. And we saw tangible examples over Christmas of how our teams in the new format were able to use the walls much more effectively with more selling stations. That's exactly the intention and it was great to see another proof point in the busiest part of the year. Currently, we believe the new format offer a low-single-digit like-for-like uplift relative to the old store format. So overall, we've continued to make quite good progress with the new format openings, which now stand at 425 so far. We're tracking well on our ambitious target by 2026. And on that note, I'll hand it over to Anders for a closer look at the numbers.
Anders Boyer-Søgaard: Thank you, Alexander, and good morning, everyone. Please turn to Slide 21. Alexander already gave us a snapshot of the results. So I'll just take the chance here to look at the numbers from a big picture view instead. So the financial performance you saw in 2024 is actually a good example of our earnings model and our equity story, because when we drive solid top-line growth and maintain strong execution through all of the other P&L, balance sheet and cash flow lines, then the end result is significant excess cash for the shareholders and double-digit earnings per share growth. And that is the core of our equity story. And this is exactly what we set out to do with the Phoenix strategy and what we set out to do with the targets from the CMD back in 2023. One other KPI worth mentioning in the table here is the gross margin. We ended '24 with a record high gross margin of 79.8% and that's up 120 basis points year-over-year. And in Q4 specifically, our gross margin also remained strong with support from, among others, the price increases we made in October, which more than offset the headwind from commodities and a higher share of consumer shopping during the key trading events. I'll talk about our forward-looking expectation just in a minute on revenue and EBIT margin. But for 2025, I can tell you that we expect our gross margin to remain almost flattish, just slightly down versus the 79.8% in 2024. And given the external headwinds we are facing from commodities and FX of around -- sorry, of around 210 basis points, I think you'll agree with me that it would be a fantastic outcome. I also want to touch on our progress on working capital. And as you can see in the table here, we ended the year in negative and that was a result of good execution across all aspects of working capital really, all the way from inventory through payables to receivables. There was some benefit from one-off factors that we expect to reverse in 2025. And working capital by the end of '25 will therefore be at a slightly higher level, but still well below the CMD target and well below where we ended in '22 and '23. Next slide, please. So on this slide, we are breaking down the revenue growth in the quarter. And Alexander has actually already covered the key elements here, and I think the bridge is pretty straightforward and self-explanatory. So I'll just highlight the second purple bar, that's the network growth, which continues to be a fantastic revenue driver for us. It contributed 5 points of growth in the fourth quarter and for the -- actually for the full year as well, exactly in line with our guidance. Next slide, please. On the EBIT margin, our performance also played out in line with our expectations and we saw a good margin expansion in Q4. And therefore, we ended the full year at 25.2%. And as you can see in the dotted box, the underlying Q4 margin was slightly up despite a 70 basis points drag from commodity and FX. I should also just would like to give a comment on operating expenses in the quarter. As some of you might remember from the third quarter announcement, we stated that the increase in OpEx would be less pronounced here in Q4. And that's also exactly what's happened and the total OpEx ratio in Q4 was actually slightly down versus last year. And this is, among others, driven by a much lower increase in sales and distribution expenses compared to the first 3 quarters of 2024 as we had expected. The sales and distribution ratio is up only 40 basis points. And this 40 basis points is linked to the expansion of our store network, which is then more than offset through a higher gross margin and leverage on other OpEx lines. On marketing, the ratio was slightly down year-over-year in Q4, and that's simply phasing. On a full year basis, we did invest a significant amount with marketing expenses up 15% year-over-year and constituting just around 14% of revenue. And as some of you will know that that's at the midpoint of our guided 13% to 15% marketing spend as a percent of revenue. And then finally, I would like to highlight that we have been driving quite nice leverage on the admin expenses in 2024 with admin costs dropping from 8.5% of revenue in 2023 to 7.8% of revenue. Now then let's move on to the guidance on Slide 25. For 2025, we are targeting another year of solid growth with organic growth being 7% to 8%. And let me just help you unpick some of the building blocks of that. On like-for-like, and that's the first purple bar in the bridge, we expect to deliver 4% to 5% growth. And that's within the CMD range that we gave back in 2023 of a 4% to 6% CAGR. The 4% to 5% is slightly lower than what we actually have delivered over the past 2 years, but we do see a need to factor in a continued weak macro and a continued weak consumer backdrop. And tied to that, as Alexander also mentioned, we did see the general shopping environment in Q4 getting more promotional, and we also factor that into our thinking. Against all of this, we will keep pushing ahead with our Phoenix strategy. And that also means that we will continue to invest behind the growth drivers such as the brand, creative development and our collections, the store network, the new e-com platform and much more. So overall, given the current weak macro backdrop, we actually believe that 4% to 5% like-for-like performance would be a good outcome and in line with our CMD targets. And finally, we expect the contribution from network expansion to be 3%, and that's also in line with our CMD ambition. And before I move on, just to help you with some of your modeling. For Q1 specifically, we expect our like-for-like and organic growth to be at roughly similar level, and that's due to phasing of store openings, phasing of sell-in, a little bit of calendar impact in Q1. And this is going to be for Q1 only. And then from Q2 onwards, you will see a more normal gap between like-for-like and organic growth. Next slide, please. On the EBIT margin guidance, the big picture message really is that we will be facing quite significant headwinds from commodities and FX, a total of 210 basis points, as you can see in the bridge. But despite that, we are targeting to keep the margin broadly flattish, almost flattish versus 2024 at around 24.5% EBIT margin. So let me comment on the building blocks that you see on the slide here. First of all, and this is about the second purple box, the operating leverage. As I just mentioned, we will continue to invest behind our strategy. It works and we will continue along the same path. And that's why we expect the net operating leverage to be broadly flat like in recent years. Secondly, the combination of operating leverage from the expansion of the network, that's the first purple box, and the recent price increases and efficiencies, and that's the third purple box. They are combined, expected to offset most of the headwind from commodities and foreign exchange, as you can see on the slide here. Lastly, as some of you will remember, we have initiated a broader cost program in response to the higher commodity prices. And as you can see in the last building block, we expect the net impact of the program to be roughly neutral in 2025 specifically. And that means that the cost of running the program as well as implementation costs will be offset by savings generated already in 2025. And that brings me nicely on to the next slide, Slide 27. Since the third quarter announcement, we have spent quite some time in the leadership team looking at what we can do to mitigate the surge in silver prices and the negative impact on the EBIT margin target for 2026. And we are happy to report that we are now in a position to reconfirm our EBIT margin target of 26% to 27% despite a 270 basis points of headwind. As we show in the text box to the upper right here on the slide, then based on what we know today and based on a silver price of $30.5 as of Jan '27, then we expect to be at the low end of the range. Before I dive into some of the specifics of our thinking and plans, we would like to emphasize 2 points. When external factors like this change, silver prices, commodities, then you can choose just to accept it and take down your target or you can choose to use this an opportunity to look deep on how you operate. And this is this latter approach that we are taking. And secondly, I want to stress that we will at no point sacrifice any investment which is the right thing to do for the long-term just to reach this target. So that brings me on to some of the specifics. As it stands today, relative to the CMD in October 2023, we are facing a 270 basis points of headwind to our EBIT margin target related to the movement of commodity prices and FX. And that's the 2 pink boxes that you see in the bridge here within the dotted square. As we mentioned back at the third quarter announcement, we are looking at 2 main buckets of mitigation. That's pricing and it's cost. And then on pricing first, we did increase prices by 5% already in October last year. And we're happy to report that it went well with an elasticity of minus 1% or better in most places. And based on that, we will take further pricing action this year. And therefore, we can now confirm the first 140 basis points of mitigation that we mentioned back in the third quarter announcement. And that's the first of the solid -- purple buckets here in the dotted box. On the cost side, we have external advisers working with us. And it's always nice to take a step back once in a while and reassess the way you do things. And our initial assessment suggests that there is indeed some opportunities to reduce cost. There's no sort of one big major driver of that. It is rather across the entire value chain and across all of the different cost lines. But we do see opportunities across several areas such as procurement, distribution, continued efficiencies in crafting, store operations and other areas. So these cost savings, combined with any potential additional pricing in 2026, that sits as part of the shaded purple box showing 130 basis points of planned mitigation. It's somewhat early days here and we will of course keep you updated as we begin to execute. So to sum up, our message is that at a silver price of USD 30.5, we can confirm the CMD target of -- sorry, of 26% to 27%. And the combination of the 2 shaded boxes that you can see on the bridge here, that's operating leverage to the left and then the box called further mitigation to the right, that will likely lead us towards the low end of the range based on what we know today. Now I know that as of this morning, the silver prices, and let me just double check where we are as we speak, $32.5, I was just being whispered ahead across the table here at a silver price of $32.5 rather than the USD 30.5, that's the basis for the bridge here. And that would, of course, change the math a little. But silver will keep going up and going down. But our message today is that since silver were at $16 just a few years back, we have been able to mitigate it. And today, we confirm that we have actions in place to cover us till just around $31 per ounce. And then we will keep updating you as we go during 2025. Finally, I know that some of you will be thinking in terms of year-over-year margin development from '25 to '26 rather than the way that we show the bridge here where we built versus the CMD target. And if you look at it year-over-year instead, what we say here today obviously implies a margin expansion next year of at least 150 basis points, and that is exactly the plan. And that margin expansion will be delivered through a combination of operating leverage, price increases and the cost program. So long story, but I hope it helps you understand our plans and thinking. And then please move on to the next slide. Finally, I just wanted to remind us all about the high cash returns, which has in fact been a feature of the Pandora story for over a decade. And these 2 graphs on the slide here I think illustrate it quite nicely. And this year is going to be no different. We ended 2024 with significant free cash flow generation and we are returning all of that back. So tomorrow, we will start a new DKK 4 billion share buyback program. And we propose a dividend of DKK 20 per share, which is up just over 10% versus last year. And with that, I'll hand it back to Alexander.
Alexander Lacik: Thanks, Anders. Just so we conclude on everything, I want to highlight a few things. First, the Phoenix strategy is pushing our brand to new highs and is transforming the perception of Pandora to a full jewellery brand. And this truly is the most important thing here. This obviously helps us create significant value for our shareholders. We drive solid like-for-like growth, deliver very strong profitability across the board and return cash back to shareholders. 2025 looks to be another uncertain year due to the macroeconomic environment and geopolitics. But perhaps, it's never not been uncertain times ahead, at least since I've joined. So this is not new to us. Our constant has been the Phoenix strategy. It's been resilient in very uncertain times. And because of that, we're guiding for another year of solid growth. And with that, I think we can open for questions.
Operator: [Operator Instructions] The first question is from the line of Grace Smalley from Morgan Stanley.
Grace Smalley: The first one would just be on promotions and pricing. Could you just help us with what you're seeing in terms of the promotional backdrop? And I guess, how you're feeling about implementing price increases against that promotional competitive backdrop? And if there's anything geographically here to call out in terms of what you're seeing differently on both promotions and your comfort with the price increases? And then my second question would be just on those European markets where the like-for-like hasn't been as strong as elsewhere, so France, Italy, U.K. I guess, what are the factors that you're looking at that are within your own control in terms of initiatives you can put in place to drive improvement in those markets?
Alexander Lacik: I think on the pricing and promotion, we've seen that pretty much across all countries actually that there's been more days of promotion. We've seen deeper discounting. This varies a little bit across markets. And we've also seen players which maybe prior years haven't participated that much entered the game. So overall, it's been a hotter promotional environment. Now of course, people promote in different execution. Sometimes there's a gift with the promotion, sometimes there's certain thresholds which are being moving around. But in general, what we track, we can see that is essentially just a hotter environment. It doesn't really change our view on our pricing actions. I think we introduced this 5% price increase in early October. Now it's been quite a, let's call it, moving feast with all the promotional activity in the last quarter. So it's not 100% conclusive, but we feel pretty good about this minus 1% elasticity that we keep talking about, and in some instances, it might even be a little bit better. But the way I think about it from a modeling standpoint is certainly put your minus 1% in and that's kind of how we roll. So I don't think that's going to change our thinking much, at least not for the next one. And then as always, we run it for a while and then we see. Then when it comes to the European markets, so I think the context actually is quite different in the 3 ones we speak about here, Italy and U.K., where we have a much bigger market share, whereas France, we are much more of, let's say, a challenger brand by nature. What we see across all 3 is, as I said, is a significant increase in the promotional context. Going forward, so if you take France, which I think is the biggest disappointment, if I'm honest, we tried a slightly different media model post Mother's Day up until October. And looking back now, that was a mistake. But when you're a challenger, you have to try some different things. Sometimes it works, sometimes it doesn't. In this instance, we entered the Q4 period with, let's say, a weaker momentum on the brand. Then we meet the competitive set that's much stiffer than what we've seen I think during my 6 years at Pandora in France. So it was like a double whammy. So the learning of that is, of course, we're not continuing with that kind of media approach. So we're kind of going back a little bit. We probably also need to think through our investment levels in France if we want to get that to grow a little bit faster. So I think this is the main point of what we can affect. I don't think -- other than that, if I look at the brand metrics, they're all quite positive actually in France, if I go through the funnel. So we know kind of that the brand is moving in the right direction. This was I think is a bump in the road in our execution to be fair. In Italy, I think we have lost a little bit of momentum in Italy, if I look at in particular on the core. The introduction of ESSENCE and all of these things is working just as well there as anywhere else. But I think we've lost a little bit of momentum on the core. So that's going to be a little bit of a refocus exercise. Again, that's perfectly within our ability to do so. It doesn't, however, change the fact that the Italian jewellery market is rather soft. That's our read of the situation. And U.K. lastly, in fact, I think still with the minus 3%, we believe that we are still gaining market share actually. The view is that the jewellery market, and I know that the ONS data would have it slightly positive, but we think that that's more driven by the watches which is part of that and that's kind of triangulating a little bit what we read from other players. So we still believe that the jewellery market is probably in the negative space. So that's kind of been the story for the last 2, 2.5 years coming out of the pandemic where the jewellery market has been in negative space in U.K. and we've been anywhere between 5 and 15 points on any given reporting period ahead of that market. So yes, minus 3% is not something I ride home about. But in that context and the promotional context that we faced, I think we're still pretty okay with that. Now I know that this is -- and obviously, the conversation we're having here is always trying to look for the holes in the cheese. But the European cheese actually tastes quite well. We have strong business in Spain, Iberia, all of Eastern Europe, all of Northern Europe. So we have a couple of markets. Even Greece is actually doing really, really well. So we have kind of this issue in the markets that you pinpointed here. So fair enough. But if I look at the European continent, that would have posted a growth something around 4, 4.5 percentage points like-for-like, which is not too shabby, to be honest. So yes, but we do have some headaches. That's part of the game somehow.
Operator: Next up, we have Ben Rada Martin from Goldman Sachs.
Benjamin Rada Martin: I had 2, please. My first was just on, I guess, margin commentary beyond 2026. I noted in the release, you had some comments that you believe that you might be able to drive further margin expansion from 2026 onwards. I was just wondering if you can clarify whether you think there's a little bit of upside from the 26% to 27% targets? And my second is just on ESSENCE, noting that category has held around that 2% to 3% of sales mark. I wonder if you can maybe talk to some of the goalposts you're thinking about for that category into this year?
Bilal Aziz: I'll take the first one, Ben. We won't be commenting beyond 2026. We have enough on our plate to get to 2026 as it stands. So yes, no comments beyond that sadly. What we can say is, obviously, with the cost programming rolling on, we expect some structural benefit in '26. And then from that point onwards, we'll see how the variables stack up from that point onwards. But yes, over to Anders for ESSENCE.
Anders Boyer-Søgaard: Yes. On ESSENCE, where should we start? When we launch a new collection, it's always very difficult to exactly gauge where it's going to land. We don't run volumetric research here. We do run a concept research which kind of gives you a sense of direction when it comes to purchase interest. But we actually don't have any volumetrics on top of it. So it is a bit of a guessing game always. So the only thing which we've said in the past is that the collection needs to get to a critical mass within a sensible time frame. The way we've spoken about that in the past was to say that within 3 to 5 years, this should get to like a 5% share of a business to say something. And that would still hold true in this respect. We've used kind of -- when we coined that 5%, we were talking about it getting to DKK 1 billion in revenue size. Of course, since then, our business has grown quite something. So the number would be bigger. But that's kind of the velocity it will require to essentially get enough interest through the value chain of Pandora. If it's smaller than that, then we have to kind of keep pushing it internally for this to feature. But I think ESSENCE, frankly, is off to a very promising start. And I wouldn't be guiding on any particular number for the year. So it needs to sequentially keep growing. That's probably the more important thing here.
Operator: Next up, we have Thomas Chauvet from Citi.
Thomas Chauvet: 2 questions, one on tariffs and a second one on the margin bridge. On tariffs, if the U.S. were to implement 10%, 20% tariffs to European or Danish imports, can you confirm you'll likely be subject to it, although 100% of your production is in Thailand and then exported to the U.S.? And how do you think, Anders, about the impact of tariffs on such a high gross margin business? So you have a COGS of 20%, 80% gross margin. So should we assume 10%, 20% tariffs would be applied to that COGS of 20%? So if you were to pass that on to the end consumer, that would require limited price increase of maybe 3% to fully offset that. And on the margin bridge 2026, can you explain how much of the -- that bucket to the right, 130 bps mitigation action, how much of that comes from the structural cost savings you've initiated in 2025? And then in '25, can you split the 0% impact from net cost saving between the actual savings and the one-off funding expenses? So is it plus 100 and minus 100, so we understand how much tailwind there is in 2026 from purely those cost initiatives? And just as you said earlier on the tweaked EBIT margin guidance towards 26% towards the low end, is it because of lower anticipated OpEx leverage or rather your ability to fully offset the headwinds from commodity and FX?
Anders Boyer-Søgaard: Thomas, thank you for those questions. If there would be a 10% tariff on imports to the U.S. from Thailand, then as a starting point, the impact -- annual impact would be DKK 350 million to DKK 400 million or something along those lines. So a little bit more than 100 basis points. Of course, that assumes that the jewellery category will be included. Let's see if that would be the case and if that happens, but something to the tune of that. And what to keep in mind here is that it is normally how -- what you will pay tariffs based upon would not be our cost of goods sold, so what actually sits in the Pandora P&L, but what is the landed cost when the product gets into the U.S. from abroad. And with that, this is slightly technical, but with the tax set-up that we have, then we are selling the products from the parent company in Denmark into the U.S. at a price which is much higher than the actual COGS, which is just completely standard set-up within a company. And therefore, it will be, let's call it, DKK 350 million to DKK 400 million impact before any kind of mitigation. So let's -- yes, let's see. With what has been announced already with tariffs on China, the impact is quite limited, something like USD 2 million per year, DKK 15 million in round numbers because we have been working on actually for some years, anticipating that something might be happening one day, limiting imports within Pandora U.S. from China. So it's quite limited impact so far. And then on the margin bridge, I think we would be careful to carve it out at this point in time on how much sits in the 130 basis points, what's pricing and what is cost savings. I think the message that we want to pass on is that we have enough fuel in the tank. We have enough handles to turn to get us towards the low end of the range. But what exactly comes from pricing, what exactly comes from the cost program and what exactly actually also comes from operating leverage, we don't want to guide specifically on that yet until we get to the -- basically 1 year ahead of time when we're guiding specifically for 2026. And on the net cost savings specifically in '25 where we are guiding for around 0 and sort of trying to carve that out. Honestly, I'll also be a little bit hesitant to do that right now. I know what the cost of running the program will be. But what I don't know exactly yet is that how many cost initiatives will be reached implementing this year where there will be implementation costs, whatever shape and form that might come. So we need a little bit more time to be able to break that out. And as you also mentioned, we haven't announced anything internally yet as well. So that also plays into that. I would prefer to be a little bit unspecific at this point in time.
Operator: The next question is from Kristian Godiksen from SEB.
Kristian Godiksen: I have a lot of questions, but I will limit myself to the questions as promised. So firstly, just wondering what is your expectation on I would maybe call it net pricing, i.e., adjusting for promotions based on you want to increase prices, but in a promotional environment, what are your expectations in '25 and '26? That would be my first question.
Anders Boyer-Søgaard: Yes. I mean, I can start out there from a more technical point of view. We would assume that it doesn't incrementally get more promotional than what we already saw in 2024. So we would assume that actually it flows through to the bottom-line, so to speak.
Kristian Godiksen: Okay. So just to be sure, so basically, there's upside based on if the promotional environment improve?
Anders Boyer-Søgaard: Yes.
Alexander Lacik: Highly theoretical, but yes, you can't deny the theory.
Kristian Godiksen: Okay, perfect. And then my second question, testing the holes in the European cheese here. So on the margin outlook for 2026 on Slide 27, so I appreciate the bridge very much. I was just wondering why are you looking towards the low end of the guidance range that you mitigated 2.7 percentage points, that's exactly the headwind from the commodities and the FX. And hence, I guess, all else equal, you should look at the midpoint. And then I would even argue you should add, you look towards the high end or above the range based on you are reaching a higher revenue than what your 2026 targets imply based on the strong like-for-like and also network expansion?
Anders Boyer-Søgaard: Thank you for that, Kristian. I'm sitting smiling with Adam here across the table because he kind of anticipated you would ask that question. But it's very fair. And as you can see on the slide here, we made the box shaded because we don't know how much yet can come out of the cost program, at least not to the extent that we can put a sort of 2 lines above it, below it and say that this is signed and sealed. So that -- again, the message is that we've looked through a combination of top-line growth that -- which drive leverage. So on the first shaded box on that Slide 27, combined with the extent of pricing and elasticity for that matter and the magnitude of the cost program. And there on the cost program, what is at play is not just sort of the gross saving, but also if we have something we can do, do we do it on -- in December '26 or can we do it in Jan '26, which makes a big difference on the impact in 2026. So net-net, we -- I'm a bit hesitant to again break it out exactly what the building blocks are. But what we can see looking across leverage, pricing, elasticity, the cost program, that's enough, again, just to repeat, fuel in the tank to get to the low end based on what we know today. And then we will I think talk a bit about this as we go through the quarters in 2025.
Kristian Godiksen: Okay, perfect. And just maybe one quick follow-up, just to make sure all the math here. And price elasticity assumption, that's a minus 1%. So there's potential upside to that as well?
Anders Boyer-Søgaard: That's correct.
Operator: The next in line is Lars Topholm from Carnegie.
Lars Topholm: Yes. Congrats with another good quarter. I have a question to your store expansion target of 50 to 75 new stores, and that's of course net. But at the same time, you said you expected you could close 50 stores in China. Now is that in '25 you will close those 50? And is it fair to assume that turnover in a Chinese concept store is lower than in the average concept store you opened so that just maybe the 3% contribution from store expansion is conservative? And then I have a second question, if I may. So I understand the trading calendar means that you actually had some revenue on 30 and 31st of December that will only be benefiting your top-line in Q1 2025. I wonder if you can explain what that is and maybe also hint what kind of impact either as a percentage of like-for-like or in total revenue that effect is?
Anders Boyer-Søgaard: Lars, it's Anders. The 50-plus store closures in China is something that we expect to happen in this year. And you're right that the revenue per store is lower, and I would say, substantially lower and especially that's the reason that we are picking these 50 stores and not some of the other 150 stores that we have in China. So the revenue is well below. I think as a rule of thumb, I think we have said DKK 7 million-ish revenue -- annualized revenue in a new concept store. But what we are closing here in China, almost 10 to say is more like a fraction of it. It's substantially lower than that.
Lars Topholm: Ex-China, Anders, you will open 100 to 125 concept stores, is that?
Anders Boyer-Søgaard: Exactly, exactly. Yes. And the 3% revenue growth I think is our best guess on where we will be ending based on these store openings. There's, of course, a lot of math behind that. We are happy to dig a little bit into, if you like, probably at a separate call.
Lars Topholm: But Anders, isn't this complete this year, because last year, we had the same discussion, you said 3% and ended at 5%. And if I do the math, you're going to repeat that this year or has something changed?
Anders Boyer-Søgaard: First of all, there's quite a few, of course, even adjusting for China, fewer store openings this year. So with, what is it, 137 concept stores this year. So even taking out the China closures this year, it is lower. And then shop-in-shop is 25 versus 99. So there's -- it is quite a few -- fewer net store openings that we are looking at. And the trading calendar, I think my colleague, Bilal will answer that one.
Bilal Aziz: Yes. So typically, in line with our peers, in terms of the like-for-like, we follow the retail calendar. And as you would know, the 30 and 31st of 2024 started on a Monday. So therefore, they fall into -- they did fall into week 1 of trading of 2025. There's still the same amount of days in each quarter. It's just a mix shift. Now of course, 30 and 31 are typically end of season sale days that we usually have. They're typically a bit bigger than typical base days. So it's just a small shift in the mix between Q4 and into Q1. And we haven't quantified what that shift would be, but you can assume it's small and positive into Q1, basically low-single-digit, assume that for the Q1 current trading.
Operator: The next question is from Martin Brenoe from Nordea.
Martin Brenoe: I have 2, if I may. The first question would be about Rest of Pandora. Really strong growth in the European markets in that segment, which is quite nice to see, to your point, Alexander. A bit limited commentary on Latin America, which has been the growth engine for Pandora for a while. And I think that you in the past also at the CMD were particularly excited about the opportunity in Brazil following the very impressive journey that we saw in Mexico. So can you maybe help us understand what the status is in that region and maybe also given the management change? That's the first question. And then the second question would be, I think it's a very insightful graph on the store openings and clearly been an important growth driver to your organic growth. Can you just help us understand also given the changes in the net store openings, how store openings impact your like-for-like, if it's possible, for example, for you to give a split between the like-for-like growth contribution of growth from -- for stores that are, let's say, 2 or 3 years old compared to stores that are older than that, that split would be very helpful?
Alexander Lacik: I think I can cover the first one. I mean, Mexico was kind of flattish. And then all the other ones were in varying levels of double-digit growth across the region with Brazil actually topping the chart. But Brazil, this kind of goes up and down a little bit depending on the kind of promotional situation. It's a quite promoted market as well. And from memory, we had a pretty decent Q3 out there as well. So that's kind of the picture. So overall, LatAm in a pretty decent shape. Yes. And then maybe, Anders, I don't know that we have those numbers here.
Anders Boyer-Søgaard: It's a fair question, Martin, on the like-for-like impact from new store openings. But the -- in a way, the odd situation is that given how fast revenue is ramping up in a new store in year 1 where it is not counting in like-for-like, then the sort of the artificial, if you want to call it, that revenue pick-up in month 13 onwards which then counts in like-for-like is quite limited. The Board actually asked the same question some time last year. And I was just trying to search through my notes here while Alexander was answering the other question. And it was some -- from memory, some 30, 40 basis points of like-for-like help from new store openings. So it's something, but it's -- that's not why like-for-like is growing, I guess that's the key message.
Operator: And the next attendee with the question, please state your name and business before asking your question.
Daria Nasledysheva: This is Daria from Bank of America. I have 2, largely around the guidance. So within your 2025 guidance, could you please walk us through the building blocks from the regional perspective, both on like-for-like and space? And particularly on the U.S. market, that has been a fantastic growth driver for you, do you expect U.S. to accelerate, stay stable or slow down? If you could share your thoughts around that. And also around the cost saving program, when will you provide a more exact number of the review? Will it be at the first quarter results or actually later on through the year? Just a little clarification.
Alexander Lacik: Daria, I'll take the first question. So yes, we haven't been specific by region. As a starting point, I think it would be safe to assume not a whole lot different in terms of, I guess, the Q4, even the Q3 sort of mix. You are right, U.S. has been a growth driver for us for a while. At least in our base case, we expect that to continue pending obviously the usual macro disclaimers. And then meanwhile, we will obviously continue to execute across Europe, particularly in some of the more challenging markets as well. But yes, as a base case, not a whole lot different from Q4 in terms of the mix. And then on to Anders on the cost program.
Anders Boyer-Søgaard: Yes. That's a fair question, Daria. We will -- we're spending quite some energy on it in Pandora on the cost program so that the picture is getting sort of more and more firmed up by the week. So I don't think we will have the full sort of conclusion already by the first quarter announcement in May, but we will definitely know quite something more than what we do today. So we will give you a little bit sharper picture in the Q1 announcement. And then I think it will be another quarter or so before we can more firm it up on -- especially on the 2026 impact.
Operator: The next question is from the line of Anne-Laure Bismuth from HSBC.
Anne-Laure Jamain: I have 2 questions as well. The first one is on the lab-grown diamond collection. So you stated in the press release that you will proceed at a slower pace and that you expect now the revenue target of DKK 1 billion revenue beyond 2026. So what are the key learnings from the rollout of this collection so far? What is the reason why you are slowing a bit the rollout of this collection? And my second question is about the current trading. So thank you for providing some granularity about the performance in January. Have you witnessed any discrepancy by region? My question is more about the U.S. Are the U.S. still stronger -- were still strong in January?
Alexander Lacik: I can take the diamond question. So when we went on this plan a few years ago, we had, let's say, made a global rollout schedule, which is obviously predicated on each market being -- giving us sufficient confidence that we can continue rolling out. I think what we found and learned is that a prerequisite for this business proposition to be interesting is that there's a certain level of base awareness with consumers. And we launched into Brazil and Mexico last year where we knew that there was literally 0 awareness. And we can also see that it's harder than to establish this business proposition without an immense amount of investment behind it. And we have other things which are higher priorities in those markets. So that's kind of why we essentially now have slowed down. U.S. is where it's happening, U.S. and Canada, I should say. Australia is kind of coming on stream slowly, slowly. U.K. is also coming on slowly. So we will -- for the foreseeable future, we'll stay in those markets and really drive that business forward. And then we'll see how the other markets develop in terms of awareness build. That I think is as much as I can say.
Bilal Aziz: And on current trading, so not a whole lot of discrepancy between what we've seen typically -- and particularly in Q4. So U.S. was particularly strong. You can take that comment going forward. And of course, we still got a few challenges in some of the European markets. You can take that forward as well. So it won't be materially different as we stand.
Anders Boyer-Søgaard: Maybe the only one to call out that we've also spoken about for some time is that you should expect Germany to normalize after this sort of exceptional growth that we've seen for quite some time.
Operator: The next question is from the line of Andre Thormann from Danske Bank.
André Thormann: Just 2 from me, please. The first is on the price elasticity, and you keep mentioning this minus 1%. And I just wonder why you keep on sticking with it because it sounds like you have seen better price elasticity in some markets and it's maybe a bit between the lines that it is actually better than the minus 1%. So that's the first question. The second question is around this 2026 guidance and the spot silver price that you also mentioned in your remarks, Anders. And I just wondered if you take the spot silver price, just to be sure, would you still be able to reach the 26% to 27% EBIT margin in '26? That's my question.
Anders Boyer-Søgaard: Anders here, and thank you for those 2 questions. We -- as we did say, the price elasticity in some markets were a bit better than minus 1% and then there's others that were -- it's just around the minus 1%. And we think on average, I think the good way to model this, as Alexander says, is to assume minus 1% also given the macro backdrop in general, consumers being under pressure. I think that's a good way to think about it and do for your modeling, which kind of back of the envelope rule of thumb would be that 1 point of price increase is around 20 basis points of EBIT margin uplift. That's kind of how to think about it. And as we see right now, it might have been a little bit better than that, but it doesn't change the direction. And then on silver prices and the margin target, I think given that we've already pointed towards the lower end of the target on a $30.5, then it is some 60 basis points, I guess, additional headwind based on the trading right now. If that persists, well, then we'll have to take another round and look at what can be done. So it's not something that we will be able to confirm as of now. We are already mitigating a lot with -- at USD 30.5, which I think in a way, just that is quite something, whether we can get to 60 basis points more, that would be too early to say. And then we will need to see being able to do even more pricing elasticity in sort of in hard numbers really being nicely below minus 1.0% and/or the cost program generating more or earlier that also comes into play. So let's keep talking about it as we go through 2025, but we can't confirm it at this point in time.
Operator: And the next attendee in the line is Anthony Charchafji from BNP Paribas.
Anthony Charchafji: It's Anthony Charchafji from BNP Paribas. I have just 2 questions left. The first one would be on CapEx guided at 7% of sales. It was 6% in 2024, but it's with store expansion much lower. I understand that there is some cost on the new facility in Vietnam, but maybe can you remind us the CapEx bucket for 2025 and why it is increasing? My second question would be on 2025 guidance. So Anders, I think you mentioned that you expected gross margin flat. So it would mean that the further deliberate would come from the OpEx. But if I see the bridge, I think the commodity impact is on the gross margin, most of the FX as well, the price increase on the gross margin as well and network expansion of 40 bps should be helping the OpEx. So just to have a bit of help on the modeling between the gross margin and the OpEx for 2025.
Anders Boyer-Søgaard: Thank you, Anthony, for those 2 questions. Yes, you're right on the network expansion, the headline number will be lower. But of course, what impacts the CapEx as such on the network expansion is the gross number ex-China. That's still a little bit lower, but not that much lower compared to 2024. And then the other 2 drivers that takes it towards the 7% rather than 6% is that this year we'll have the peak on the CapEx on our new crafting facility in Vietnam and a decent amount more being invested compared to 2024. I think that alone, I'll just look at my numbers here, is actually almost a percent of revenue more just on Vietnam. We're spending in total just around DKK 1 billion building the factory in Vietnam and DKK 500 million of that will be invested in 2025. So that's really the key one. And then on the EBIT margin bridge, it's a good reflection on how the leverage comes up. So -- but when you -- with the EBIT gross margin being sort of roughly flat to slightly down in 2025, that's kind of, as you say, indirectly means that the OpEx ratio should be sort of flattish year-over-year, and that's pretty much how to think about it for the year. I don't know whether that answers your questions or your question, but maybe I missed the last one.
Operator: We now have a follow-up question from Kristian Godiksen from SEB.
Kristian Godiksen: 2 follow-up questions from my side, please. So the EBIT margin guidance for '25 and '26, I was just wondering if you could break down the assumptions on the marketing spend as a percentage of revenue. And then the second question would be on the outlook for China. Maybe you could put some more commentary on changing the [ GM? ]
Anders Boyer-Søgaard: On the first question on marketing, that's kind of what goes into the leverage bucket where we will see as the year go by how much do we want to invest in building the brand, both for the year and for the long-term. So that kind of goes into that dynamic of where we end in the 0% to 1% operating leverage range. But it's clear that we will keep investing as long as we are going through the restating of the brand to be known as a full jewellery brand. I think that that's probably as much as we can say on that line.
Alexander Lacik: China, nothing has changed from what we've been discussing in the past. It's a difficult market for us. It's a difficult market in general for many. So there's -- we keep kind of trying in Shanghai. Now we need to prune a little bit stores where we feel it's too far away from actually making us any decent profits. It's just cleaning up the P&L a little bit. So I don't have anything meaningful different news regarding China at this point in time to talk about.
Kristian Godiksen: Okay. Maybe just lastly, remind me on -- have you upgraded the stores in China? Have that had any impact?
Alexander Lacik: No, we've been quite sparse with that given the very poor performance, yes.
Operator: The next one is Lars Topholm from Carnegie with a follow-up.
Lars Topholm: Yes. I just wonder if you can give an update on your entry or more intensified entry into Japan, Korea and also status on India, please?
Alexander Lacik: Yes. So we added quite a few -- it's more like shop-in-shops. It's more of a department store type market in Japan with quite some good outcomes last year. Now we are slowing that down a little bit, consolidating that, taking those learnings in Japan. Korea, we are back on good terms with the distributor there. So I think that business also picked up as we kind of now try to drive it more the way the Pandora business should be run. Then as it comes to India, we are still in negotiation, trying to find a suitable partner for us. There is nothing firm locked. And it's quite important that we land this one as right as we can. So we are not rushing it. It's a big market opportunity, but we need to kind of make sure that the starting point is sensible for us. So we are not stressing the situation in India. So we're still working on finding a good partner for the business.
Lars Topholm: And there's still no change, Alexander, to the strategy of India initially being a distributor market. That's still the plan?
Alexander Lacik: Yes. We need somebody that understands the dynamic of the local market. As you know, we don't have any prior experience in the business, not in terms of people or nothing documented. We had 5 stores there with a distributor that didn't really do much for the business. So it took some time to unwind that. I'm just happy it wasn't 100 stores. So yes, so I think that in that type of market, it's better to line-up with somebody actually understands the ins and outs as much as we understand Europe and North America because we're kind of -- the crew is from there. India is an entirely different ball game. So yes, I think that's the right way to go.
Bilal Aziz: That concludes our call. I'll hand over to Alexander for a few quick final remarks.
Alexander Lacik: Well, I mean, thank you, first of all, for paying attention to us again. We are always grateful for that. We concluded '24 on a high, not an easy year. And I'm sure that there's going to be new curveballs thrown at us in '25, but we've shown that we are quite resilient and agile to deal with that. I do like to stress all the work that Anders is leading in terms of the cost program. I know you have a lot of questions and maybe not getting all the level of detail that you're looking for. But I think the headline is that we reconfirmed the EBIT targets, albeit in the lower part of the range and that there's a lot of confidence around that. Now there's obviously an open point on how silver is going to move up and down. So that remains a little bit of an open point. But other than that, I think we have good understanding of where we have the holes in the cheese and also where we have the good parts of the cheese. So we'll keep pushing forward. And again, reiterating 7% to 8% organic growth as a target for the year in a market which is most likely going to be flat at best is still a fantastic outcome. So see you out there in subsequent calls and subsequent quarters. Thank you very much for paying attention.